Operator: Welcome to the Ayr Wellness first quarter 2024 earnings call. Joining us today are Ayr's President and CEO, David Goubert, and the company CFO, Brad Asher. Before we begin, we would like to remind everyone that certain comments from management during this presentation may contain forward-looking statements based on management's expectations. These forward-looking statements are provided for illustrative purposes only, and are not intended to serve as, and must not be relied on by you, as a guarantee, assurance, prediction, or definitive statement of fact or probability. Many of these risks and uncertainties are discussed in our most recent public filings, including our most recently filed annual information form and management's discussion and analysis. Numerous risks and uncertainties could cause the actual events and results to differ materially from the estimates, beliefs, and assumptions expressed or implied in these forward-looking statements and might not be expressed today. Several of the factors that will determine Ayr's future results are beyond the ability of Ayr to control or predict. In light of the uncertainties inherent in any forward-looking statements, you are cautioned against relying on these statements. While Ayr may elect to update these forward-looking statements at some point in the future, Ayr specifically disclaims any obligation to do so. During this presentation, we may reference non-GAAP financial measures such as adjusted EBITDA and adjusted gross profit. For a reconciliation of our non-GAAP measures to GAAP results, please see our earnings release posted in the Investor Relations section of our website earlier this morning. I will now turn the call over to Ayr's President and CEO, David Goubert. You may begin.
David Goubert: Good morning, everyone, and thank you for joining our first quarter 2024 conference call. We're in the midst of an exciting and transformational time in the cannabis industry, as evidenced by the reported historic decision by the Department of Justice to propose reclassifying cannabis from Schedule I to Schedule III. While the timeline for completion is uncertain, we're optimistic that the change to Schedule III will be implemented in 2024. This shift in federal policy represents a validation of the efforts Ayr has made in building a long-term sustainable business within the cannabis space, and provides further motivation to continue to improve and refine our operations, so we're ready to continue our success in the next phase of the industry. Ayr remains committed to doing our part to drive federal reform, as evidenced by our leadership roles in the US Cannabis Council, Committee for Cannabis Scheduling Reform, and other initiatives pushing for federal and State-level reform. Pivoting now to our Q1, I would like to stop by thanking the entire Ayr team for their contributions this quarter as we continue to build upon the transformation efforts that we put in place last year. In line with expectations, in Q1, we exhibited revenue growth and maintain our adjusted EBITDA margin target of approximately 25%. Importantly, we also generated free cash flow in the first quarter, which we expect to continue on a full-year basis given our previously discussed change in tax position around 280e and continued effort to further optimize our business. 2024 continues to be all about execution for Ayr, further building on the progress we've made in 2023 in improving our operations in existing markets and seeking to ensure that we're ready to rise to the occasion when key State-level catalysts come into play. Diving into our operations, I will now touch upon key initiatives and progress across retail, CPG, wholesale, cultivation, and production. On the retail front, we continue to make progress in defining and rolling out the Ayr Cannabis Dispensary brand. In June, we celebrate the one-year anniversary of our Florida stores rebranding to Ayr Cannabis Dispensary, and we'll be hosting a month-long campaign across our Florida footprint to recognize this milestone. Additionally, we plan to rebrand our two existing Illinois stores to Ayr later this month, and open two more stores in Illinois in Q3 directly under the Ayr Cannabis Dispensary brand, followed by the conversion of our legacy Sira stores in greater Boston to the Ayr brand. By end of year, we anticipate all of our open stores to be under the Ayr brand name, with the exception of our locations in Nevada, which maintains strong brand recognition and loyalty under dispensary brand name. As we unify our stores under the Ayr Cannabis Dispensary brand, we seek to position our locations as the go-to local dispensary at scale across our markets with stores that have common branding and common value proposition, but are deeply embedded within and reflective of their respective communities. To that end, we have focused heavily on ground game and community engagement activities to drive brand awareness and foot traffic to our stores. We combine this with a strong digital focus building around digital penetration and customer reachability. We find our best retail customers are often the ones that interact the most with our digital platforms. The traffic on our e-commerce websites remains strong and we focus on improving the quality of the reach to our customers and the conversion on our sites. This means better leveraging things like our customer email and push notification, getting customers to the product pages faster and with less friction. In store, we've made improvements in basket size, slightly increasing the average basket each of the last two quarters after nearly two years of quarterly declines. This improvement has been supported by incentive programs implemented across all retail employees, and we feel average basket size represented a significant missed of opportunity for Ayr throughout 2023, but we're happy to say that we believe we have course-corrected and are seeing positive results. Across our CPG portfolio, we have now concluded the phase of defining the DNA, identity, and architecture of our two core brands, Kynd and HAZE, and we continue to make strong progress on the relaunch of these brands in our own retail stores and across wholesale. We're building these brands to shift from single categories to full-some brands that cross form factors and present a real personality and value proposition to our customers. We believe this approach to brand-building will drive further customer recognition and adoption. In Q1, we launched the first ever edibles under the Kynd brand with the launch of Kynd gummies in Florida and Nevada. These gummies taste great, with effect-based formulation leveraging THC, minor cannabinoids, and tropis. We're thrilled with the response we're receiving and look forward to rolling these out across additional markets throughout the year. As 2024 progresses, we plan to roll out additional Kynd SKUs with the expansion of vapes, tincture and bonds, and the introduction of Kynd pre-rolls and pre-roll packs, providing Kynd customers with trusted quality across all categories. With HAZE, which we're positioning as a premium line for a more experienced cannabis consumer, we launched Live Rosin infused pre-rolls across New Jersey, Massachusetts, and Nevada, prior to 420, and have additional SKUs planned, including the introduction of Live Resin and Live Rosin gummies, as well as disposable Live Resin and Live Rosin vapes. The primary focus as the year continues will be driving sell-through of both Kynd and HAZE via further deployment of in-store displays, facilitating onsite popups and merchandising opportunities with wholesale partners, participation in local community and industry events, and celebrating 10 pole moments like the 10-year anniversary of Kynd later this year. Personally, I'm really looking forward to seeing an abundance of the Kynd mango color in our stores and partner stores when that milestone rolls around. With our brand rationalization complete and the year-long relaunches well under way, we continue to invest in our wholesale presence across our core markets. Consistent with our stated focus on 2024 wholesale segment expansion, wholesale continues to grow in terms of total dollars and as a percentage of our business quarter to quarter, and is quickly turning into a strength for our organization. We're thrilled with the progress we've made in wholesale results and the process that got us there. As a reminder, we put in place last year a system where our market GMs work hand in hand with a centralized wholesale team and operation team. That system is now clicking and is a primary driver behind our success. We believe the relaunch of our brand, partially Kynd, will help drive further wholesale success in the second half of the year and beyond, with significant sell-through support from our marketing team. By the end of the year, we aim to have Kynd make up more than 50% of Ayr's total wholesale business On our operations front, we continue to make progress in our standardization efforts, new product launches, and new product innovation pipeline. In particular, I'd like to recognize the agility that we've demonstrated in bringing new products to market, supporting the expansion of our Kynd and HAZE brands, enabled by expanded kitchen and extraction labs across our footprint. This is expected to progress even further as the year goes on, which should allow us to break further into higher-margin product categories. From an inventory standpoint, we've not yet made the progress that we're hoping for, but we feel we have the right approach in place now to reduce inventory over the second half of 2024, specifically as it relates to streamlining operations to improve the speed at which inventory flows through our supply chain and into our stores. We believe that the operational improvements we've discussed will position us well to fully capture the opportunity presented by upcoming State-level catalysts. We continue to lay the groundwork for accelerated growth and further cash generation from the conversion of key markets from medical to adult use, with the next occurring in Ohio over the summer, as well as potential adult use conversions in Florida and Pennsylvania over the next year. We anticipate a mid-summer launch for Ohio adult use, but are not contemplating Ohio as part of our Q2 projections. With that timeline in mind, we're continuing to ramp capacity in our PAMMA cultivation facility to supply the adult use market, while preparing the three Ayr Cannabis Dispensary stores to convert to adult use promptly. This conversion would be an immediate tailwind for the existing stores as well as our wholesale business, given our large and state-of-the-art PAMMA cultivation facility, which has already developed a reputation among medical patients and wholesale customers for producing high quality flower. And we are actively working on extending the number of locations to the maximum allowed within the first few months of adult use operations in Ohio. Across Florida and Pennsylvania, Ayr has taken a more active role in State-level reform efforts, making a significant contribution to the Smart and Safe Florida campaign, and taking on a leadership role in the industry push for adult use legalization in Pennsylvania. In Pennsylvania, Ayr maintains a robust footprint throughout operations in stores that is prime to convert to adult use if and when the moment comes, without the need for CapEx or material increase to our cost base. In Florida, we're actively working to improve our cultivation and production capacity and are pursuing a path to indoor cultivation expansion. From a store perspective, our team is laying the groundwork to maintain our store market share in an adult use regime, and we anticipate accelerating the opening of new locations following the November adult use referendum. We encourage everybody to support the campaign and vote yes on three. As I mentioned on our last call, only 15 of Ayr’s 91 stores currently operate in adult use markets. We're in one of, if not the best positioned MSOs to capitalize on impending medical to adult use transitions, given our outsize growth potential relative to our current footprint. As we look to the rest of 2024, we remain laser-focused on staying true to our business model of being a retailer of choice and a house of sought after cannabis CPG brands. All of the actions that we've described thus far in today's call, ladder up to that ultimate goal. I'll now turn it over to Brad to walk through financial results, before returning for closing remarks. Brad.
Brad Asher: Thanks, David, and good morning, everyone. Q1 sales of $118 million represents an increase of $3.2 million or 2.8% from prior quarter, and a modest increase of less than 1% from prior year. The increase in sales is in line with our guidance for the quarter, which called for revenue to range from flat to modest growth compared to Q4 2023. We also outperformed cyclical industry trends in the quarter, resulting in a slight uptick in overall retail market share. The sequential increase is a result of gradual improvement building back the sales base in Florida, modest growth in Ohio retail as our three recently-opened medical stores continue to ramp ahead of adult use, as well as further growth in the wholesale channel, with 5% sequential growth building on a 42% sequential growth in the prior quarter. These gains were partly offset by compression in New Jersey retail, driven by the rapid increase in statewide store count. However, it's worth noting that overall revenue for the State of New Jersey increased sequentially, with wholesale growth more than offsetting the retail compression in the State. From a year-over-year perspective, the slight increase in sales was driven by wholesale growth, partially offset by retail compression from same-store sales. At retail, transactions increased 1% sequentially and 5% year-over-year, and basket size increased 2% sequentially, with 8% compression year-over-year, marking the second consecutive quarterly expansion of basket size after nearly two years of quarterly declines. Q1 gross profit of $50.7 million, represents an increase of $1.3 million or 2.6% compared to prior quarter, and $2.4 million or 5% compared to prior year. Q1 adjusted gross profit, a non-GAAP measure, was $62.6 million, representing a modest increase of 1% from prior quarter, and a decrease of $2.7 million or 4% compared to prior year. Q1 adjusted gross margin of 53% was consistent with the past two quarters, and represents a slight decrease of approximately 100 basis points compared to the prior quarter as a result of modest price compression, which has largely stabilized but persists in select markets such as New Jersey retail. Internally-branded sales at retail were consistent sequentially, with a slight decrease to 62% of total retail sales and 40% when excluding Florida. Consistent with the prior quarter, internal product was diverted to meet increased demand in the wholesale channel. We expect this to return to 65% range over the course of the year as we strategically ramp cultivation capacity, and expect to see further overall improvement in yields across our facilities as a result of process improvements in pre and post-harvest. The benefit of economies of scale is not yet reflected in our cost of goods sold for the Ohio and Massachusetts facilities, which are still ramping. The cultivation utilization rate in Ohio and Massachusetts at the end of prior year was just 15% and 44%, respectively. By the end of Q1, those same rates increased to 27% and 58%, respectively, which we expect will have a future benefit to margins. By Q3 of this year, we expect those utilization rates in Ohio and Massachusetts to further increase to approximately 50% and 75% respectively, with the ability to flex into additional canopy, based on market demand. These improved utilization rates are expected to not only drive sales growth, but further benefit our cost structure as we seek to drive leverage across our fixed cost base. Loss from operations was $1.9 million, which represents an improvement of $7.6 million and $19.8 million compared to the prior quarter and the prior year, respectively. Total SG&A cost represents a decrease of just under $1 million and $12.8 million compared to the prior quarter and the prior, year respectively. SG&A as a percentage of sales was 33% during the quarter, down from 35% and 44% in the prior quarter and the prior year, respectively. Approximately 300 basis points of the year-over-year improvement is due to the reclassification of expenses from SG&A to COGS in Q3 2023, with the balance driven by cost-saving initiatives and further steps to streamline operations. Q1 adjusted EBITDA of $29.1 million represents a slight decrease of less than $1 million quarter-over-quarter and an increase of $8 million year-over-year. Adjusted EBITDA as a percentage of sales during the quarter was 24.6%, which was in line with the guidance of approximately 25% margins, which was just below the prior quarter of 26% and 220 basis points above the prior year of 22.4%. In addition to maintaining our adjusted EBITDA margin in the 25% range, there have been noticeable improvements in add-back costs, which are excluded from this measure, including startup costs, acquisition and transaction costs, as well as other expenses. The sum of these costs, as reconciled in the adjusted EBITDA statement, decreased 32% from the prior quarter and 45% from the quarterly average in 2023, which represents a reduction of $3.8 million, and we expect this trend will continue, resulting in a meaningful improvement year-over-year. Moving to the balance sheet, we ended the quarter with a cash balance of $71.2 million, representing a $20.4 million increase from prior quarter, primarily driven by $40 million of incremental gross proceeds from the closing of our debt extension on February 7th. The senior notes are presented on the balance sheet net of debt issuance costs, which includes the fair value of the anti-dilutive warrants issued to shareholders and is outlined in footnote 10 of our financials, which also covers the P&L impact in the quarter associated with the debt extension, with the loss on debt extinguishment being inclusive of the fair value of shares issued to senior noteholders, as well as any non-cash fair value adjustments realized upon recognizing the new senior notes on our books. The cash flow from financing activities also included $8.4 million from the closing of our Gainesville mortgage upsizing on March 26. The total inflow from financing activities was offset by a $19 million reduction to current liabilities from scheduled payments of financing outflows, as well as $9 million of debt issuance costs paid out upon closing of the February 7th debt extension. $8.7 million was generated in the quarter from operating cash flow, which was partially offset by $6.8 million of CapEx payments, resulting in positive free cash flow during the quarter. As David mentioned, we continue to expect approximately $20 million of total CapEx for the year, and we anticipate generating positive operating cash flow for the full year on both the 280E and non-280e tax basis, and positive free cash flow, given our previously discussed stance on 280e. We note that any contributions from the following three buckets are not included in our cash assumptions, and would be considered incremental. One, the conversion of our outstanding warrants issued in February totaling up to $50 million of net proceeds. Two, the receipt of an anticipated ERC tax credit totaling $12 million of gross proceeds. And three, the receipt of a potential tax refund from our previously amended returns totaling approximately $50 million of gross proceeds. As referenced in the annual earnings call in Q1, we updated our tax position to reflect the non-applicability of 280e. At the end of March, we filed amended tax returns for the years 2020 through 2022, resulting in a refund claim of approximately $50 million, which is currently outstanding. As previously mentioned, due to the uncertain nature of the tax position, this is not reflected as a receivable on the balance sheet. However, this is the first quarter where the impact of our tax position is reflected in the liability section of our financial statements, but the majority of the tax liability moving to an uncertain tax position within non-current liabilities, and just $13.4 million remaining within current tax liabilities, which reflects our tax liability absent the application of 280e. As a result, our working capital position is now a positive $99 million. It's also worth noting that prior to the shift of taxes to non-current liabilities, working capital would still be a positive at $11 million, which would represent an improvement of $18 million from the prior quarter. In closing, we're pleased with our Q1 results, which was in line with our guidance. And with our balance sheet actions behind us, we are poised for the immense opportunities ahead, starting with the near-term catalyst of the Ohio adult use. With that, I'll turn the call back to David.
David Goubert: Thanks, Brad. Before concluding the call, I would like to provide a few notable State-level updates. In Florida, we continue to position ourselves for success ahead of the potential conversion to adult use. We've increased our mix of edibles and Live Resin products to grow market share, drive margin improvement, and offset recent pricing pressure in the State. We're already seeing slowly traction from the Q1 launch of Kynd and HAZE, and will continue to driving edible sales throughout 2024, as we continue to expand our production capacity. We're experiencing strong market demand in these categories, and are now focused on maximizing our unit output to continually meet that demand. We have seen improvements in THC TAC percentage, and overall quality in our Gainesville cultivation, and now have our focus fully on maximizing yields out of our cultivation campus. Later this quarter, we'll experience the first harvest from our new crop plan designed to maximize yields, THC percentage, and variety. At the same time, we're actively improving our existing retail footprints and plan to end the year with 70 stores in Florida compared to 64 at the end of 2023. In Massachusetts, as mentioned on our last call, we're ramping cultivation to meet the growing wholesale demand stemming from the rapid growth in store counts in recent months. As we produce additional biomass, we can both move more products through our own retail stores and sell more into the wholesale market while decreasing our cost per pound produced thanks to a better utilization of our capacity. New Jersey continues to boast the three strongest retail assets in our portfolio outside of Nevada. However, as mentioned last quarter, and similar to Massachusetts, increased retail competition is leading to pricing pressure. We continue to be pleasantly surprised by the market share that we've retained thus far, despite increased competition. At the same time, the additional stores present a compelling wholesale opportunity, leading to wholesale growth in Q1 that more than offset any revenue pressure in retail. In Illinois, we anticipate opening two stores by the end of Q2, early Q3 timeframe, one in Bloomington-Normal, and the other one in Hometown, a suburb of Chicago, in addition to the rebranding of our two existing Illinois stores in Quincy. Additionally, we're on track to our first Connecticut location in Manchester this July. Looking ahead, we remain committed to improving the overall health of the business and positioning Ayr for sustainable profitable financial growth across our footprint. We anticipate revenue to be flat to low single-digit growth in the second quarter compared to the first quarter, before generating stronger revenue growth in the back half of the year, driven by Ohio adult use, the new store openings in Florida, Illinois, and Connecticut, and further wholesale growth. We also expect to maintain a roughly 25% adjusted EBITDA margin for the year, with mild quarterly fluctuations, and to generate positive cash flow from operations and free cash flow for calendar year 2024, supported by supply chain improvements, more efficient use of cultivation and production space, and maintaining strict cost discipline. Thank you to our entire team at Ayr who continue to drive forward all the progress we discussed today. Operator, we’ll now open the call for questions.
Operator: Thank you. [Operator Instructions]. The first question comes from Russell Stanley of Beacon Securities. Please go ahead.
Russell Stanley: Good morning, and thanks for taking my question. Congrats on the quarter, and in particular New Jersey, congrats on continuing to run the retail pressure there. I'm wondering if you can talk about your wholesale penetration now and going forward, where the best opportunity for growth is there? Is it about adding more doors or share of shelf? I imagine it's both, but I'm wondering where your bias is. Thank you.
David Goubert: Hey, good morning, Russ, and thanks for the question. Yes, we're pretty happy with the way that we’re developing our wholesale in New Jersey. First, on the retail side, I think that yes, we're seeing some pressure with the opening of the dispensaries, but pretty happy with the market share that we maintain. And then on the wholesale side, back to your question, I think it's a bit of both, meaning that we’re in about 80% of the doors now open in New Jersey from a wholesale standpoint, so feeling good about the penetration. And then one of the big focuses is actually more on how much shelf space do we take and category of products that we can propose. I think there's been a lot of efforts done and work done on increasing on the manufactured product, I would say, and so on the extraction and so on. So, very happy with where we are. More work to do obviously, but wholesale is more than compensated for the slight decrease we've seen on retail based on the number of stores open. So, overall, a good story, I would say, on New Jersey.
Russell Stanley: Thanks for that, and maybe my follow-up is around Ohio, as you noted, increasingly likely, I guess, that the market may open as early as next month. I guess, can you talk about your preparedness for that and the extent to which you think your peers are ready, given September, I think, was the timeframe people were, were kind of - had kind of soft-circled. So, I'm wondering do you, do you envision shortages? What kind of market do you think will open into in Ohio? Thanks.
David Goubert: Yes. So, where we are today, so we opened our three first - the first three dispensaries under Ayr in Q4. They're doing okay, meaning it's a medical market that's waiting to become adult use. So, I'm not going to say that those are amazing results on those three stores, but they're doing okay, as we expected. Big thing for us is the capacity that we have at PAMMA and where we continue to increase the number of rooms. I think Brad stated that by Q3, we'll be at 50% capacity in PAMMA in our facility. So, what we see in the market today - and maybe before talking more about the market, what we see from a regulatory standpoint is that we should be able to present for adult use on the existing stores by June 7. So, we expect the existing stores to be able to sell adult use, let's say early Q3. And then our focus is very much on maxing the number of stores as soon as we can in the States over the following quarters. What we see so far is - again, on the retail side, don't see improvements yet. I think that's going to come obviously as you turn adults and might take a little bit of time. But what's important for us is ramping up the wholesale and seeing that as a way to grow in Q3, Q4. We expect price to go up as well as adult use start. So, we expect to see that first coming on the wholesale front. But that's, I'd say how we're preparing, meaning really we're ramping up capacity and having our three stores ready already for adult, and then maxing the number of stores as soon as we can.
Operator: The next question comes from Andrew Semple of Echelon Capital Markets. Please go ahead.
Andrew Semple: Good morning. So, two questions on the cultivation side here. First, I want to go to Florida. On the Q4 call, you indicated that Florida cultivation would remain a challenge, or an issue for the first half of Q1 results. Can you just kind of confirm your actual experience in that market with the Q1 results, and then whether you're anticipating any lingering impact into Q2, or whether that's fully behind us now?
David Goubert: Yes, morning, Andrew, and thanks for the question. Really want to separate, I'd say two things here. The issue that we had in the summer in Florida, and impacted with a heat wave on the garden, that impacted our, I'd say results in late Q3 and Q4, that's behind us, and fully, I'd say behind us and taken care of. What we're seeing right now in Q1, and I'd say beginning of Q2, is that we've made a lot of changes, and especially since George, our new CEO arrived, we made a lot of changes, whether it's from a crop plant standpoint or increasing our ability to - our capacity, I'd say in the kitchen, on gummies, on cookies, as well as packaging products and extraction. And that takes a bit of time to take off. So, that I'd say somehow you could say impacted a bit negatively Q1, and that's why I say in Florida, we haven't seen the full impact that we expect on growth back from that Q3 low level. And frankly, that might be lingering a bit into Q2 as well. All that is to prepare us for having extra capacity and the ability to get to where we want to be in the second half of this year. I'll take one example. We've talked about edibles where we said that that was like 3%, 4% of our mix last year. I think today we're about 6% of the mix, and our result is edibles, and we've said we're going to get to double-digit. Well, we need that kitchen and that work to do that, and that's in progress. So, summer issue of last year is behind us over completely. Not yet full capacity, I’d say that we want to be in Florida, and that's due to the changes that are happening as we speak, but confident that that's a matter of weeks, I'd say, for us to get to the right place.
Andrew Semple: Great. That's helpful. Also appreciated the color in the prepared remarks on the utilization rates in Ohio, Massachusetts. As it relates to Massachusetts, what's behind the ongoing improvements in utilization rates that you're expecting later this year? Is that a function of the timing of when new grow rooms are coming online, or is that more of a function of the sales team catching up to new capacity that's already been brought online? I guess said differently, is that improvement being driven by the supply side or the timing of demand, or maybe a bit of both?
David Goubert: Yes, thanks. So, we have a large facility in Milford, in Massachusetts. I think it’s 100,000 square feet of canopy there. And we want to be cautious on how fast we get back to maximum capacity. If we go back to what happened over 2023 and the beginning of 2024, we were in a place where we had to really slow down production in the first half of 2023 and then started to ramp up. I'd say we are still in that phase of ramping up and getting to a really good place from a ramp up standpoint. Right now, what we see is that we're not limited by the demand from a wholesale standpoint. We’re still limited by the capacity that we have. So, we continue to bring rooms online, and we're almost, I'd say at full capacity now, which explains how our cost is going down and we're planning to go down further, and at the same time increasing wholesale significantly in number of doors, as well as number of categories that we’re offering for our wholesale customer. So, overall, getting there from a capacity standpoint. Not seeing an issue from a demand standpoint. We're still somehow constrained. And so, I'd say cautiously optimistic that we'll continue to see an increase in the State results and especially wholesale results in the second half of the year.
Operator: The next question comes from Scott Fortune of ROTH MKM. Please go ahead.
Scott Fortune: Good morning, and thanks for the questions. Let's focus on the New Jersey market and you're seeing your retail stores there maintaining share, which is great in that market as you ramp up the wholesale opportunity. But just want to get a sense for the expansion there from the capacity on the wholesale side, and then an update on penetrating kind of the market with social equity licenses. I believe you have one, but just kind of the outlook on that potential for the partnerships with these equity licenses would be great.
David Goubert: Thanks, Scott. So, on the wholesale front and retail front, so retail front, I'm saying that we're not exactly maintaining full market share as we had it, let's say six months ago, but we're maintaining much better than we expected. And the drop from a retail standpoint is very low. We're talking mid-single digits on that quarter-over-quarter. So, it is very low on that front and more than compensated by what we see from a wholesale standpoint. And again, we see there, we’re at 80% of the doors there, and we think that as more doors open, we'll continue to take advantage of that. On your specific question on our say look at adding more doors, I think that as the other operators, we're looking actively at it as we speak. And so, nothing that we can share here, but that's something that we're looking at and looking at how we can support that in New Jersey.
Scott Fortune: Got it. And then just to follow up for me on Florida, ahead of adult use, obviously 60%, a big hurdle to overcome on the ballot side, but just kind of put in perspective your capacity. I know you're making full improvements there in yield and stuff, but your full capacity here with adding the six stores, how many stores can you support with your capacity currently in Florida without adding production kind of moving forward here, just kind of distance for that ahead of AU coming on board potentially next year?
David Goubert: Yes. So, I'd say from our Gainesville facility and what we can support, we're very comfortable that we can support the 70 stores that we should be by the end of the year and getting obviously more product available in these stores. So, and at the same time, we're actively looking for indoor capacity and making great progress on that front, which I think no matter what, we need in Florida. And so, for us, it's really two key focus. One is increasing the output and the capacity from Gainesville. We're already seeing progress from a quality standpoint. We need to see progress from a quantity standpoint. So, I'd say that's step one. Step two is really getting into indoor capacity over the next few months. And then step three is making sure that we maintain market share from the number of stores standpoint in the State. So, we'll be at 70 by the end of the year, and planning on expanding, depending on the number of stores that show up in that State, but planning on expanding so that we maintain overall I'd say 10% of doors in the Florida market.
Operator: The next question comes from Matt Bottomley from Canaccord Genuity. Please go ahead.
Matt Bottomley: Yes, good morning, everyone. Just wanted to pivot over to the balance sheet. You guys did a lot of work on that in the last year and shored up some breathing room and obviously the focus, refocus on operations and some of the efficiencies has shown well in the last couple of quarters, so congrats on that. I'm just wondering on sort of management's philosophy, given that we potentially have these positive tailwinds, whether it's DEA catalysts or things that are going through Congress that could potentially in the six to 12 months plus, reduce the over overall cost of capital. Just wondering your viewpoint on potentially further reductions in debt coming up to the punted out maturity date, and if that's something that you think will be your sources of cash as your cashflow generation will be used against your overall leverage.
Brad Asher: Yes, thank you for the question. This is Brad. So, I think, yes, you mentioned the federal catalyst. For sure, that will be upside for us. In terms of de-leveraging, I think also the State-level catalyst as well will provide an opportunity for us to pay down debt. I think it is worth mentioning that the scheduled payments for principal debt amortization and maturity is around $25 million each year. So, debt is being paid down kind of as scheduled over the next two years. But as these catalysts kick in, federal and State, it's going to be an opportunity to pay down on a more accelerated basis. And overall, I think from a capital allocation standpoint, we look at M&A, CapEx, and we benchmark that against de-leveraging and paying down debt. So, that's always kind of the test that we're looking at and we'll continue to assess going forward.
Matt Bottomley: Got it. Thanks for that. And then the other question for me is just more operationally. In Nevada, apologies if some of this was in your prepared remarks, but just it's something that your retail market share has been pretty healthy there, going back to when you guys first came public, that State saw fair share of headwinds, and it just seems like in some of the macro data, retail sales data we all subscribe to, it seems like there might be some positives coming in that State in terms of terms of a rebound or at least a normalization. Can you speak to what your experience has been in Nevada the last one, two quarters?
David Goubert: Yes. frankly, it’s been pretty solid, meaning that it's pretty much a flat market, I would say, for us. There's always, from a market share standpoint, meaning the BDS data and the data that we have a couple of months later kind of deferred, but what we see is that we're maintaining market share. I'd say what we've seen since the changes that happened on January 1st in terms of the allotment for the customers, for the patients and customers, is that we've seen an increase actually in the average basket over the first quarter in Nevada, that's been somehow offset by a slight decrease in number of transactions and overall maintaining a rather flat I’d say performance from the retail and definitely maintaining solid and maintaining our market share. So, I'd say it's a pretty good story right now in the State and feeling good about where we are.
Operator: The next question comes from Frederico Gomes of ATB Capital Markets. Please go ahead.
Brenna Cunnington: Hi, this is Brenna on for Federico. Congrats on the quarter and the cash flow improvements. I'm just curious what shifts, if any, you're seeing in the consumer behavior - consumer purchasing behavior in Ohio ahead of the anticipated flip to adult use and the impact that's flowing through to margins, and then similarly, the purchasing behavior in New Jersey as the market is becoming more mature and lapping the two-year mark of being rec sales.
David Goubert: Hey, good morning, and thanks for the questions. Honestly, Ohio, we’re pretty new in that market, right? We opened our locations or the locations under Ayr in Q4. So, so far, what we see is that it's growing for us slowly. It is pretty much as we expected, but I'd say it's a pretty soft market ahead of adult use. So, not seeing yet changes from I'd say a consumer habits or price point happening ahead of AU yet in Ohio. So, hard to answer more precisely on that because again, we're pretty new in that market. What we see in New Jersey is a bit of a price compression from a consumer standpoint, which is expected with the increase of number of doors that are present in the States. So, we're - by the way, average basket growth is, from a retail standpoint, our number one KPI for the year, and really the focus that we're giving to our retail. So, in New Jersey, like in other places, that's very much what the team is focused on. That's where we've put incentives on. That's where we put training on and other actions. So, we do see some price pressure I’d say, happening in retail in New Jersey, but trying to compensate that as much as possible with the work that we're doing with the team on really that focus on average basket.
Brad Asher: Just to piggyback there, I know that - I think the question was directed to retail in Ohio, but just speaking to wholesale for a second, we're not seeing, I'd say, tremendous stockpiling yet, but we are starting to see some tightening and sharpening of pricing in Ohio. And for us a net seller in that market, that's a positive for us.
Brenna Cunnington: Great. Appreciate that color. I'll hop back in the queue.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to David Goubert for any closing remarks.
David Goubert: Thank you, and thank you all for being here and for the questions. I think as we've said before, we feel that we're extremely well positioned for the tailwinds that are coming, whether from a federal standpoint and State-level. And I'll just speak to that number that we've been saying a few times, but only 15 of our 91 dispensers today are in adult use markets. So, that really positions us in a great place. That said, what you probably have heard from us this morning is very much that focus on operations, and that focus on building that culture of continuous improvement. And we're just a bit more than a year in our turnaround at Ayr, and there's still a lot of work to do ahead of us. But the way I want to conclude is say that I know we've been talking about our business model being at the same time a retailer of choice and a house of sought after CPG brands, supported by great quality, variety, and consistency of products. And I'd say for the first time and probably around 420, coming - going to the stores, was the first time that I felt that all this was truly coming together, meaning that the positioning of our retail brands as the neighborhood stores at scale, the relaunch of Kynd and HAZE in our stores, and the pop of color and especially of that mango color in our stores, the (variety) of new products and new products that we've been able to launch for 420 and more to come for 7/10. And I'd say also the digital improvements where we’re really only at the beginning of that, but all these things are coming together and that makes us feel, I'd say, in a very good place with a lot of work to do ahead of us, a very good place for the federal changes and State changes that are ahead of us. I'm a fan of a couple of movie directors, Tarantino, and Guy Richie. And what I love about these movies is that you've got several plots that end up coming together at the end as one. And that's kind of how I feel about the work that the team has done in 2023 and the beginning of 2024, where people are working on the brands, people are working on retail, people are working on digital. And now I think that what we'll see in the second half of the year is all this coming together and really telling the story of Ayr being that retailer of choice and house of CPG sought after brands. So, very happy with that and really want to thank the team for all the work done in these different things to bring everything together. Thank you.
Operator: This brings to an end, today's Ayr wellness conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.